Operator: Good afternoon, ladies and gentlemen. And welcome to the First Quarter 2012 Air Lease Corporation Earnings Conference Call. My name is Chris, and I’ll be your conference moderator for today. Presently, all participants are in a listen-only mode. Later, we will facilitate a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. And this time, I will now like to turn the conference over to your presenter for today, Mr. Ryan McKenna. Sir, you may proceed.
Ryan McKenna: Good afternoon, everyone. And welcome to Air Lease Corporation’s first quarter 2012 earnings call. This is Ryan McKenna, Assistant Vice President, Strategic Planning and Investor Relations. I’m joined this afternoon by Steve Hazy, our Chairman and Chief Executive Officer; John Plueger, our President and Chief Operating Officer; and Greg Willis, our Senior Vice President and Chief Financial Officer. Earlier today, we published our first quarter results for fiscal year 2012. A copy of our earnings release is available on the Investors section of our website at www.airleasecorp.com. This conference call is being webcast and recorded today, Monday, May 14, 2012, and an audio replay will be available on our website. At this time, all participants to this call are in listen-only mode. At the conclusion of today’s conference call, instructions will be given for the question-and-answer session. Before we begin, please note that certain statements in this conference call, including answers to your questions are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, including without limitation, statements regarding our future operations and performance, revenues, operating expenses, other income and expense, and stock-based compensation expense. These statements and any projections as to the company’s future performance represent management’s estimates of future results and speak only as of today, May 14, 2012. These estimates involve risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to our filings with the Securities and Exchange Commission for a more detailed description of the risk factors that may affect our results. Air Lease Corporation assumes no obligation to update any forward-looking statements or information in light of new information or future events. In addition, certain financial measures we will use during this call, such as adjusted EBITDA and adjusted net income, are non-GAAP measures and have been adjusted to exclude charges relating to discounts on certain convertible notes and stock-based compensation expense among other charges. A description of our reasons for utilizing these non-GAAP measures, as well as our definition of them and the reconciliation to corresponding GAAP measures, can be found in the earnings release we issued today. This release can be found in both the Investors and Press section of our website at www.airleasecorp.com. Unauthorized recording of this conference call is not permitted. I would now like to turn the call over to our Chairman and Chief Executive Officer, Steve Hazy.
Steve Hazy: Thanks Ryan. Good afternoon and thank you for joining today. I’m pleased to report that for the three months ended March 31, 2012 Air Lease Corporation recorded pre-tax income of $41.6 million and net income of $26.9 million, resulting in $0.27 earnings per share for the first quarter of 2012. Our cash flow from operations was $101.5 million. ALC saw demand holding up for new aircraft lease placements in the 2013 through 2015 delivery timeframe, particularly in Asia, as global passenger traffic continued to grow, partially offsetting higher fuel costs and lower airline financial performance during the first quarter. Much attention has been focused on Europe in the media industry press. ALC has no significant concerns about our Europe customer’s to date. All are performing well and we do not have any significant lease derivatives. Anticipate that regional economic factors and reduced airline financial performance may have some negative impact on the order books of the airplane manufacturers and we intend to capitalize on those opportunities. The overall supply of new aircraft available to the marketplace for the next several years from the aircraft manufacturers remains limited, helping to make ALC an attractive leasing solution for airlines looking to procure new aircraft they need to optimize their fleets, maximize their flexibility, and reduce their own financing risks. Our forward lease placements have been well balanced as to credit quality and airline strength. To date ALC’s approximately 80% placed on all of our new aircraft deliveries through the end of 2015. We see continued and robust demand for our remaining unplaced positions on new Boeing 737-800, A321-200 aircraft with sharklets, our remaining ATR 72-600 aircrafts, and our future orders for Boeing 777-300ER aircraft. As we told you last quarter, many months ago we placed 100% of our current engine option A320 future deliveries. The last A320 we’ll deliver in 2013 and we are now looking forward to initial placements of our Airbus NEO single-aisle aircraft along with assessing lease demand for the new Boeing 737 MAX. As many of you know, AIG and ILFC filed a trade secrets lawsuit against ALC on April 24th in Los Angeles. Air Lease and the individual employees named in the complaint intend to vigorously contest the allegations. I want to make it clear that there is no secret sauce in the aircraft leasing business. ALC’s success is a result of a strong management team with extensive experience and solid industry relationships. We have experienced lawyers that will defend the litigation and our management will continue to focus on growing ALC and fulfilling our company’s commitment to achieving industry-leading results. As this is an ongoing legal matter, we are unable to provide any further comments or answer any questions on this matter. We believe that by executing our growth plan, ALC has achieved very impressive results in its short operating history and we are well-positioned for the future. John Plueger who is traveling on business out of the country, who is our President and Chief Operating Officer, will now expand upon ALC’s results and strategic positioning. John?
John Plueger: Thanks, Steve. Executing our plan during Q1 we took delivery of 12 aircraft from our pipeline, finishing the quarter with 114 aircraft spread across a diverse and balanced customer base of 59 airlines based in 34 countries. Our average fleet age decreased to 3.4 years from 3.6 years at the end of 2011. Additionally, our average lease term remaining increased to 6.9 years from 6.6 years at the end of last year. These positive fleet trends are demonstrating the merits in our business model of ordering aircraft directly from the manufacturers and placing them for the diverse customer base. By acquiring our own product pipeline, we can diversify our customer base and balance the number of Airbus and Boeing planes in our fleet, as well as Embraer and ATR aircraft in building the highest quality portfolio of assets. We’re not be holding to the pricing degradation and potentially limited aircraft options available in the spot market that others focus on say leaseback business. We at ALC, we negotiate our own prices from the manufacturers, by placing orders of substantial scale with attractive pricing. This includes favorable pre-delivery payment schedules, which we prefer to control as opposed to overpaying the capitalized interest and profit margin costs we believe are inherent in many sale-leaseback transactions. The success of our operating model translates into our financial results where we were able to generate a 31.4% pre-tax operating margin, making the third consecutive quarter over 30%. The continuing low interest rate environment combined with our pricing of aircraft and leases allowed ALC’s overall portfolio to maintain consistent lease yields. Since the end of the quarter, we’ve closed two incremental aircraft purchases above our delivery plan and are assessing additional opportunistic transactions. As of today, we have 124 aircraft operating in our fleet. Our forward lease placements of new aircraft on order are strong. As of March 31st, we were 100% placed in 2012, 93% placed in 2013 and 84.6% placed in 2014. Our marketing team’s ability to place aircraft years ahead of their delivery serves as an important risk mitigator for the company. During the past three quarters the majority of our new aircraft lease placements were in Asia. With our strategic aircraft strategy and placements in such a healthy state, these past few months our management team has focused intently on capital raising. We’ve raised a significant amount of unsecured attractively priced debt capital over the past two months, which has added to our liquidity and balance sheet strength. With that, let me now turn the financial review over to Greg Willis who will walk you through these transactions in more detail. Greg?
Greg Willis: Thank you, John. During the quarter, our fleet generated $131.7 million in rental revenue, which includes overhaul revenue of $3.5 million, compared to revenue -- rental revenue of $113.6 million, which included overhaul revenue of $3.4 million in the fourth quarter of 2011. As a reminder, ALC adds aircraft throughout the quarter, so the full impact of rental revenue for aircraft acquired during the quarter will be reflected in subsequent periods. ALC closed two landmark landlord debt transactions during the last two months, which have helped further mature and diversify our capital structure. We completed a $1 billion unrated, unsecured senior notes offering on March 16th. The term is for five years and was priced at 5% or 5.8%. The successful offering of notes helps to benchmark ALC paper relative to our competitors. Currently, over half of our debt is now unsecured and at a fixed rates. Further, this deal helps to lengthen the tenure of our aggregate debt portfolio as we look to approximately match the average lease term of our aircraft portfolio. Secondly, we closed an agented revolving bank facility in excess of $850 million on May 4th. This is a three-year facility priced at LIBOR plus 1.75% without a LIBOR floor. With this facility, we are able to tighten the pricing on our prior revolvers by 25 basis points from 200 over LIBOR, reflecting the growing financial strength of our company. ALC has now matched the banking group that includes 31 institutions. We greatly appreciate the support of our banking group has given us today. The aircraft leasing business is optimized with an unsecured funding model. Unsecured funds allow our company the flexibility to move aircraft around the world without local mortgages and encumbrances. The covenants that we’ve included in our notes offering and our corporate revolver facilitate its flexibility. But let me remind you, ALC has set an internal limit for leverage at 2.5 to 1, and we have coveted 3 to 1 on a companywide basis. Our bond covenants requite a minimum net worth of $2 billion, interest coverage of 1.5 times and unencumbered asset coverage test of 125%, which equates to an 80% advance rate on unencumbered assets or stated differently a leverage ratio of 4 to 1 on our unsecured debt. And we have a restriction on debt payments of 15% of current net income. This covenant provides us with the operational flexibility, and reasonable protections to both our debt and equity investors, and are common across other industries. Interest expense increased this quarter in line with the debt that ALC has accumulated during the quarter. Our philosophy is one of balance and risk aversion. Therefore, we chose to secure liquidity in the event that the capital markets might tighten in the near future. ALC has lined up significant financings and liquidity well into 2013, which coupled with a strong operating cash flow, positions the company on a very solid foundation. Our SG&A was $13.6 million for the quarter and continues to decline as a percent of revenue. ALC has accumulated $7.1 billion in total capital in only 27 months in business. Company has often speaks about their commitment to a robust and conservative balance sheet, and we view our results as evidence of this fundamental corporate philosophy at ALC. I will now turn it back to Ryan.
Ryan McKenna: That concludes management’s remarks. For the question-and-answer session, each participant will be allowed one question and one follow-up. Now I’d like to hand the call over to the operator. Operator?
Operator: (Operator Instructions) And our first question comes from the line of John Godyn, Morgan Stanley. You may proceed.
John Godyn – Morgan Stanley: Hey. Thanks a lot for taking my question. I just want to ask a little bit about the pipeline for opportunistic growth transactions. If you could just give us or remind us of what are the key characteristics you’re looking for in opportunistic growth and specifically, are there any deals that could move the earnings needle in 2012, or are these more longer dated than that?
Steve Hazy: Well, originally, we had 45 aircraft -- new aircraft in our delivery pipeline for 2012. A few months ago we moved a January 2013 Embraer 190 into October of this year, because we have leased that aircraft to one of our customers. And since the close of the first quarter, we’ve acquired two incremental aircraft that were not in our business plan. One is a 777-300ER and one is a Boeing 737-800. So those two aircraft incrementally will add more than $10 million of revenue for the balance of this year. In addition, we are negotiating for a number of additional aircraft that fall into our portfolio criteria for deliveries in the second and third quarter of 2012. So if we’re able to complete those transactions and I can’t give you assurances that we will, but at the moment, we’re on track to do that, those will improve the revenue profile at the tail end of the second quarter and for the third and fourth quarters of 2012. And obviously, those aircraft will have lease rate factors that are approximately the same as our existing portfolio. Therefore, they will be accretive to our earnings for the balance of the year.
John Godyn – Morgan Stanley: Okay. That’s helpful. And just to follow-up, when we think about the economics of the aircraft that you sort of already have under contract for lease in 2013, 2014, can you just talk about how the economics compared to your current ROE and is mid to high teens the right pre-tax ROE that we should be kind of thinking about three to five years down the line? Thanks.
Steve Hazy: Well, even though you are allowed one question, we’ll make an exception.
John Plueger: And a follow-up.
Steve Hazy: I can tell you that the aircraft that we’ve added so far in the first four and a half months of this year are exhibiting lease rate characteristics on our investment that are similar to the aircraft we acquired last year. But I think in terms of ROE and lease rate factors, virtually all of the aircraft that we’re taking delivery of in 2012 fall into that same band.
John Godyn – Morgan Stanley: Okay. Thanks a ton, guys.
Operator: Our next question comes from the line of Jamie Baker with JP Morgan. You may proceed.
Jamie Baker – JP Morgan: Hey. Good afternoon, everybody. When I look at these aircraft placements between now and 2015, it looks like in the past 90 days you haven’t logged any additional placements. I’m wondering if this is by design or if there’s any pushback from airlines, you cite robust demand for the remaining aircrafts. I’m just wondering if the lack of incremental placements since Q4 is potentially I know inconsistent with some of your prepared remarks?
Steve Hazy: Not at all. We have a number of transactions where we are awaiting final government approvals and other corporate approvals to be able to publicize those and we’ll make that information available at the appropriate time.
Jamie Baker – JP Morgan: Okay.
John Plueger: Jamie, this is John Plueger.
Jamie Baker – JP Morgan: Yeah.
John Plueger: Let me just also add that don’t forget that we are already 80% placed for 2015. So we have by definition much less aircraft to place than we did even three or six months ago.
Jamie Baker – JP Morgan: Yeah. Sure. I don’t question that. I was just kind of looking at the incremental change over the last three months or so. For my allotted follow-up, it’s been reported that you’ve placed or I guess you’re close to placing a 737 MAX order. First, is that accurate and second, Steve any thoughts on the recent changes in specs, the new winglets and so forth?
Steve Hazy: Well, we’ve had a parade of Boeing executives and engineers, and experts down here for the last several months. We are working with both Boeing and Airbus on a regular basis to define the configuration performance and specifications for their new aircraft designs. I really can’t comment on negotiations that are ongoing, but obviously, the media has access to information that we don’t have.
Jamie Baker – JP Morgan: Okay. We’ll leave it at that. Thanks, everybody.
Steve Hazy: But to amplify what John said, we are leased out completely for this year. There’s only couple of airplanes for 2013 and those are two ATR 72s that are about to be leased out and finalized. So we really don’t have anything of substance for 2015 and ‘16. And currently our management team is already working on some of the long lead time placements.
Jamie Baker – JP Morgan: Perfect. I appreciate the additional color there, Steve. Thanks so much.
Steve Hazy: Yeah. You’re welcome.
Operator: Our next question comes from the line of Gregory Lewis with Credit Suisse. You may proceed.
Gregory Lewis – Credit Suisse: Yeah. Thank you and good afternoon.
Steve Hazy: Good afternoon.
John Plueger: Hi, Greg.
Gregory Lewis – Credit Suisse: Hi. John or Steve, could you provide a little bit more rational or color on the Vietnam Airlines transaction where, those aircrafts were placed out, that I guess those go on lease in 2017, ‘18. I mean, how should we think about in terms of the pricing given the long lead times for those, I mean, and is there something that we expect Air Lease to be going forward in terms of placing aircrafts for delivery that far out in advance or even potentially farther out?
Steve Hazy: That transaction really complements our existing order for 787-9s. We had corporate approval to acquire twelve 787-9s. The delivery positions that Boeing could offer us in incremental aircraft were a little too far for our likening, too far out. So the opportunity arose where Vietnam Aircraft Leasing Corporation is sort of in the process of being dismantled by the government of Vietnam and the other investors. And Boeing and the airline approached us with this opportunity to step into these delivery positions, which we felt were attractive. And the economic terms of the transaction are extremely attractive to ALC. And we were able to lock in 12-year leases with the flag carrier of Vietnam at attractive lease rates, which will give the company very long stream of earnings for a decade and half ahead.
John Plueger: Greg, let me add that we’ve assumed these aircraft now under our own purchase agreement with Boeing. So this is not a sale leaseback. This is under our direct contract now with the Boeing company for the aircraft to be leased with Vietnam Airlines.
Gregory Lewis – Credit Suisse: Okay. Perfect. Thank you for the time.
John Plueger: And they are 12-year leases, on terms that are favorable to the company.
Operator: And our next question comes from the line of Michael Linenberg with Deutsche Bank. You may proceed.
Cathy O’Brien – Deutsche Bank: Good afternoon. This is actually [Cathy O’Brien] filling in for Mike. I just had a quick question on some comments you made on this particularly strong demand you saw in placements in Asia. Just because recently two large Asian carriers, Cathay Pacific and Singapore Airlines, noted a weakening in their passenger and cargo demand trends. In fact, Cathay just recently cut its capacity plans. Do you think there is any potential going forward that you see a reversal of the strength you saw in Asia this quarter and could that affect you going forward?
Steve Hazy: Let me comment on that because I was in Singapore and Hong Kong a few days ago and I met with Senior Executives of both airlines. The rate of growth for some of these, what I call, network legacy carriers had slowed down compared to 2010 and 2011. But please remember that a significant amount of our placement activity in Asia is replacing older aircraft that are not as fuel efficient, not as economical to operate. So we continue to see very strong demand from our Asian customers for both incremental capacity growth in the 2014 through 2017 timeframe as well as replacing their older planes that are anywhere from 15 to 25 years old. So we have not really seen any slowdown in demand for our product. In fact, it’s just the opposite, a number of airlines that we’re talking to in Asia and elsewhere. We’re planning to use ECA financing or Ex-Im Bank financing that is not grandfathered under the ASU agreement for deliveries beyond 2013 are now seriously looking at the operating lease model. So we actually anticipate an increase in demand for our services and our products
Cathy O’Brien – Deutsche Bank: Great. Thanks for that color. Just has one quick follow-up, just wondering if you’ve seen any significant changes on your watch list focused on in particular region or just kind of status quo from last quarter?
Steve Hazy: John?
John Plueger: No. Not really. We mentioned last quarter that we have one A320 with Kingfisher that aircraft is still on lease. However, I would call it a conditional lease. We do have a physical custody of the aircraft and its records and the engines under our control. And we are just pending awaiting period that we’ve come to agree with the airline for the continuance or not of that aircraft. And should it not continue with Kingfisher, we have a standby lessees already lined up.
Steve Hazy: Yeah. Just to enumerate we’ve not had any credit losses or write-downs or lease defaults that would create a liability for the company to date since inception. So aside from this one A320, every one of our leases is performing satisfactorily. And we’re not having any financial issues with any of our customers.
Cathy O’Brien – Deutsche Bank: Great. Thanks for your color and thanks for your time.
Steve Hazy: You’re welcome.
John Plueger: Thanks.
Operator: Our next question comes from the line of Arren Cyganovich with Evercore. You may proceed.
Arren Cyganovich – Evercore: Thanks. You’ve done a good job on the debt side thus far and have got a lot of unsecured debt recently. Your release had commentary about using the export markets for financing which is consistent with what you’ve said in the past but I didn’t know if there is an increased focus on looking into those markets to finance any of your aircrafts going forward?
Steve Hazy: As I mentioned earlier, under the global ASU agreement, the Aircraft Sector Understanding, aircraft that were ordered before the end of 2010 and will deliver by the end of this year are eligible and grandfathered under the old rules that apply to both, Ex-Im Bank, the European ECAs and the Canadian Brazilian Export Credit Agencies. So we clearly have commitments from those agencies for certain amount of guarantee facilities covering our 2012 deliveries. And our finance team is evaluating the tradeoff between utilizing those facilities, those just that are using normal unsecured funding that’s become more and more available to the company. Beyond 2013, the cost of these guarantees goes up significantly and makes that type of financing basically not as competitive against commercial source. So our board and our finance teams are evaluating the merits of utilizing those facilities after the end of this year.
Arren Cyganovich – Evercore: Okay. That’s helpful. And then as a follow-up, you have some leverage governance on some of your unsecured debt that you mentioned in your commentary. It looks like a four to one, I think you said leverage ratio which I believe would be above what you would be seeking to carry anyways. Is that…
Steve Hazy: Yeah. Let me elaborate. We have a board policy which allows the company to go up to a maximum of 2.5 to 1 leverage. And our covenants, I believe, are three to one.
Greg Willis: Three to one on a companywide basis.
Steve Hazy: So we have no plans to be leveraged four to one or even three to one, that’s the outside boundary three to one in our current credit agreements. But our in-house corporate policy is to stay within the realm of 2.5 to one or lower. And at the present time, it’s like 1.7 to 1.
Arren Cyganovich – Evercore: 1.7 to 1.
Steve Hazy: Keep in mind that as we add more earnings each quarter, our shareholder equity goes up, so that we have a larger base off which to do the calculation.
Arren Cyganovich – Evercore: Right. Thank you very much.
Steve Hazy: You’re welcome.
Operator: Our next question comes from the line of Gary Liebowitz with Wells Fargo Securities. You may proceed.
Gary Liebowitz – Wells Fargo Securities: Thank you, Operator. Good afternoon, gentlemen. Steve, you mentioned that you are starting to talk to customers about the A320neo placements. Can you quantify for us how much of the premium if any you are seeing in those lease rates over your last A320 placements? 
Steve Hazy: We’ve not concluded any leases on A320 or A321neos. But we are targeting a lease rate premium depending on the circumstances and the airline and the operating parameters and the stage length that they operate of somewhere between 12% and 16% premium over the equivalent A320 or A321 lease rates. And we have seen a lot of interest from airlines in that. Some airlines are projecting $150 oil price. It depends really on their calculations of calculating the operating cost of the aircraft, including the capital costs. So I suspect that different airlines will have different, sort of, assumptions, but that’s about the range that we are looking at about 12% to 16% premiums on both the A320neo and the A321neo. We’re especially bullish about the A321neo because with the increased range -- payload range performance, it becomes a much more capable Boeing 757 replacements and the existing A321. So we’re seeing a lot of interest in the A321neo.
Gary Liebowitz – Wells Fargo Securities: My follow-up for Greg would be, Greg the SG&A number seems to go up every quarter was somewhat higher than the fourth quarter of last year. Was that because of litigation expenses or maybe you can tell us what the big moving pieces in there are?
Greg Willis: It is primarily just continued build out of company’s infrastructure. It continues to decline as a ratio to revenue. And we expect it to continue to decline as we continue to get off to scale.
Gary Liebowitz – Wells Fargo Securities: And litigation expenses were?
Greg Willis: We haven’t disclosed litigation expenses.
Gary Liebowitz – Wells Fargo Securities: Okay. Thank you.
Operator: Our next question comes from the line of Mark Streeter, JP Morgan. You may proceed.
Mark Streeter – JP Morgan: Steve, just to follow-up on Gary’s last question, the 12% to 16% premium on A320 lease rates. Can you tell us are you paying more or less of a premium for the aircraft? What I’m really wondering I’m not -- I know you’re not going to tell us exactly what you’re paying for? But are you making a greater margin or do you think you’ll make a higher margin on A320neos than on A320 current engine option aircraft?
Steve Hazy: Yeah. Our target is to make at least 10% better margin on the neo versus the placements that we’ve already done on A320s and A321s. That’s sort of our internal target.
Mark Streeter – JP Morgan: Okay. Great. That’s very helpful. Then a question for Greg, just looking at the balance sheet now the split between secured and unsecured to much at 50-50 right now. I know you can fund the business plan with sort of the capital that you have at work here, but you’re going to at some point announce some new orders and so forth. So, I’m just wondering if you can give us an update on timing for the rating agencies, timing for when you think you’ll next raise capital, is it really just going to be place -- to replace more secured debt with unsecured debt or is it going to be driven by future aircraft orders?
Greg Willis: Jamie, we are going to continue focused, I’m sorry, Mark.
Mark Streeter – JP Morgan: This is the other one.
Greg Willis: We’re going to continue to focus on layering on new unsecured debt going forward. That’s our business plan that we’ve guided from the very beginning. So as we continue to go on, we’re going to be looking to put on more and more unsecured debt.
Steve Hazy: We’re having ongoing discussions with the rating agencies. Virtually every week, we’re updating them and positioning them so they understand the company efficiently. So they will be able to make a determination in the future.
Mark Streeter – JP Morgan: But is that just going to be replacement of secured debt or incremental sort of growth capital when you issue unsecured next?
Steve Hazy: Well, there’s two aspects to that. One, you have to look at our existing secured debt, which really falls into two parts. One is the warehouse facility that we have with Credit Suisse and Credit Agricole, which is just a shade over a $1 billion currently. We’re talking to those lenders about the possibility of converting those into some kind of amortizing term loan, at obviously better economics than we currently have. And then the second part is I believe around 700 plus million of secured amortizing bank loans that are tied to the financing of specific aircraft. And those loans are all being paid down systematically on a regular monthly or quarterly basis. So that portfolio is coming down at a pretty fast clip. And as that paydown occurs, as Greg mentioned, we’ll be looking at layering on additional unsecured debt of different maturities. So we’ll have a nice ladder structure on unsecured debt maturities that kind of ties in with the cash flows of our portfolio.
John Plueger: Mark, it’s John Plueger. Let me just add that this is somewhat dependent upon the extent and the level of additional incremental transactions that we’re able to procure for the balance of this year.
Mark Streeter – JP Morgan: Sure. That make sense. Great. Thank you.
John Plueger: Sure.
Operator: A next question comes from the line of Helane Becker with Dahlman Rose. You may proceeds.
Helane Becker – Dahlman Rose: Thank you very much, Operator. Hi, John and thanks for the question. Just on the fleet on the Embraer’s, the 175s and 190s they’re kind of not -- more a regional jet I guess. So can you just discuss how you’re thinking about that versus the other aircraft in the fleet? Is it that you are just seeing huge demand for it, just your thoughts on that? Thanks.
Steve Hazy: Yeah. Let me elaborate on it. I think there’s a misconception, when people talk about the Embraer E-Jet family. There’s really two segments to that family, one is the 170, 175, a lot of those are flown in the U.S. under contract for the legacy carriers by regionals, because of the scope cause. But our primary focus on the E-Jet is the 190 and those aircrafts are generally around the 100 seat, some go up to as high as 108 seats. And what we found is that our lessees are utilizing those aircraft to replace mainline aircraft. For example, we did a number of airplanes with Alitalia on E-190s five aircrafts and they are actually replacing MD-82s and they are adding frequency with the 190s and it’s replacing larger aircraft. We just did another transaction with another airline in the Africa-Middle East region, that’s replacing a Boeing 737-500 with the E-190. And with the 175s, they are also in many cases replacing mainline aircrafts. For example, we have two with Belavia that are going in at September, October that are replacing two Boeing 737-500s. So these aircrafts are being used as mainline airplanes rather than regional feeders.
Helane Becker – Dahlman Rose: Okay. All right. Thank you for the clarification.
Steve Hazy: I hope that’s helpful to you.
Helane Becker – Dahlman Rose: Much. Thank you.
Steve Hazy: Incidentally, we’ll take delivery of our last Embraer under our current order base in the fourth quarter and that will give us a total of 30 E-Jets.
Helane Becker – Dahlman Rose: Thank you.
Steve Hazy: You’re welcome.
Operator: A next question comes from the line of David Fintzen with Barclays Capital. You may proceeds.
David Fintzen – Barclays Capital: Hi, thanks. Good afternoon everyone.
Steve Hazy: Hi, David.
David Fintzen – Barclays Capital: Just curious to come back to the 80% of the fleet that’s placed to the order that’s placed, just curious how you balance some of the economic and oil risk that the airlines are facing, say over the next year or so. I mean does that incentivize you to try to place those little quicker or is that something we could see sort of you want to hold back and not place those until you have little more visibility into what the world could look like in 2014 or ‘15?
Steve Hazy: John?
John Plueger: Sure. You’re right. It’s a question of balance. We’ve always erred on the side of early placement. We found that over time, over many decades of running this business that has served us well. We’re not always in a hurry to place the last 5% or 10%, because history has shown many, many times that we do get the incremental demand and sometimes it does come at a premium. So we’re very comfortable with our level of placement right now. And the forward placements for the remaining 20 odd percent or so that we have that gives us a great luxury of choosing very carefully, who we want to place the aircraft with and under what economic terms, because they’re so far forward out there. And there are so few units left. So it gave us a great luxury of, kind of, picking and choosing and picking our spots and that’s where we’d like to be.
David Fintzen – Barclays Capital: And just as a follow-up to that, is the strategy different between say narrowbody or widebody, or is it pretty much the same approach to both?
John Plueger: By definition, widebody requires a longer build time and a longer time in advance production to order seats, galleys and flighted equipment assorting. So on the widebodies, we do tend to look towards longer placement times.
David Fintzen – Barclays Capital: Okay. Great. Appreciate the colors. Thanks.
John Plueger: Sure.
Steve Hazy: You’re welcome.
Operator: A next question comes from the line of [John Key with U.S. Partners]. May Proceeds.
John Key – U.S. Partners: Hi, guys. Thanks for taking my call. Just had a quick question. I know you’ll say you are not going to comment directly on the lawsuit, but I was just curious if you could give some detail around, like maybe some key dates or like milestones that you have to hit in terms of either reply to the courts or things like that or is that something you can give information on?
Steve Hazy: Any information about the litigation is contained in our 10-Q for the first quarter filed with the SEC. We’re not really going get into speculation on time scales, what calendars, that’s really not something that we feel is appropriate at this time.
John Key – U.S. Partners: Okay. Thank you.
Operator: (Operator Instructions) A next question comes from the line of Glenn Engel with Bank of America. You may proceed.
Glenn Engel – Bank of America: Good afternoon. You touched on the A321 as a plane -- neo that you are excited about, if you could get more aircrafts today, which would be your favorite planes that you think you get the best returns? And secondly, you are mainly passenger, when would you consider the freight side?
Steve Hazy: Well, that’s a good question. I mean all of the aircraft we’re taking deliveries of now are going out of lease rates that are within a very attractive bands in terms of return. On the single aisle aircraft, the 737-800s and the Embraer 190s have actually been -- I would say the -- on an average the strongest. We’re seeing some strengthening of demand for the A321, all of our A320s are placed, our last current generation, Current Engine Option, A320 deliveries next year and that leads to an Asian airline long-term lease. We’re also seeing strengths in the A330 market, both for the Dash 200 and the 300 and for the 777-300ER and a replacement of older fuel guzzling 747s. But all of these aircrafts that we’ve chosen way back in 2010 are performing pretty close to one another in terms of lease rate economics. There’s not a large disparity at the moment. I would say the A320, if we had more AAAs would probably be the weakest, but that could only be a temporary phenomenon anyway. So, I would have to say currently the 737-800, and E190 are the two best performing single aisle aircraft for us on just pure numbers.
Glenn Engel – Bank of America: And the passenger versus freighter business?
Steve Hazy: Yeah. At this point, we have focused primarily on building our passenger portfolio. Please keep in mind that even our single aisle aircraft and our A330, 777, 787s had significant cargo carrying capability. For example, the 777-300ER can carry 30 tons of cargo with a full passenger load. We’ll see more volatility in the air cargo traffic trends because more than half of the global freight traffic is carried in the bellies of aircraft. So when there’s a slowdown in freight traffic, the all cargo aircraft appear to be affected more than the combination passenger cargo aircraft. So, at this point, we’re watching that market very carefully. We’ve looked at several opportunities on the 777-200LR/F. We’ve looked at the 747-8 Intercontinental/Freighter. We’ve looked at the A330 Freighter. We’ve had conversions of 737 Classics. We continue to look at that market, but right now our fundamental core business is performing so well, that that’s where we’re directing our capital.
Glenn Engel – Bank of America: Thank you very much.
Steve Hazy: Welcome.
Operator: And we have no further questions at this time. I would now like to turn the call back over to our speakers for any closing remarks.
Ryan McKenna: That concludes the call for today. Thank you all for your participation.